Operator: Ladies and gentlemen, thank you for standing by. Welcome to Douglas Emmett's Quarterly Earnings Call. Today's call is being recorded. At this time, all the participants are in a listen-only mode. After management's prepared remarks, you will receive instructions for participating in the question-and-answer session. I will now turn the conference over to Stuart McElhinney, Vice President of Investor Relations for Douglas Emmett. Please go ahead.
Stuart McElhinney: Thank you. Joining us today on the call are Jordan Kaplan, our President and CEO; Kevin Crummy, our CIO; and Peter Seymour, our CFO. This call is being webcast live from our Web site and will be available for replay during the next 90 days. You can also find our earnings package at the Investor Relations section of our Web site. You can find reconciliations of non-GAAP financial measures discussed during today’s call in the earnings package. During the course of this call, we will make forward-looking statements. These forward-looking statements are based on the beliefs of, assumptions made by, and information currently available to us. Our actual results will be affected by known and unknown risks, trends, uncertainties and factors that are beyond our control or ability to predict. Although we believe that our assumptions are reasonable, they are not guarantees of future performance and some will prove to be incorrect. Therefore, our actual future results can be expected to differ from our expectations and those differences may be material. For a more detailed description of some potential risks, please refer to our SEC filings, which can be found in the Investor Relations section of our Web site. When we reach the question-and-answer portion in consideration of others, please limit yourself to one question and one follow up. I will now turn the call over to Jordan.
Jordan Kaplan: Good morning. And thank you for joining us. Leasing during the first quarter of 2025 was quite successful. We achieved positive absorption across our total office portfolio. We signed over 300,000 square feet of new leases. New leasing to tenants over 10,000 square feet was well above our historical averages. Our Class A office portfolio has maintained stable in place and asking rental rates despite this higher vacancy market. And as we convert Studio Plaza to a multi tenant office building, our leasing there is well above expectations. In addition, looking ahead, I am encouraged by our below average office expirations in 2025 and 2026. Our multifamily portfolio enjoys very full occupancy and robust revenue growth. This reflects the appeal of our high end residential communities and the affluence of our coastal submarkets where the need for quality housing only seems to accelerate. We are working on four solid avenues for restoring and then exceeding our prepandemic FFO with good progress on all four fronts; leasing up our existing office portfolio, redeveloping our 712 unit Barrington Plaza residential property, converting our Studio Plaza office building to multi-tenant use and acquiring additional office and residential properties. Of course, higher interest rates remain a drag on income. As we roll through refinancing our existing debt portfolio I suspect that our cost of debt will increase between 100 and 200 basis points from the 3% average we enjoyed before COVID. My hope is that the higher cost of debt is matched with rental income growth as the economy recovers and the market reflects the slowdown in new development. At present, our office leasing pipeline remains healthy and our multifamily demand continues to be strong, but we are keeping a weather eye towards broader economic landscape. Recent volatility in national policies affecting the public markets could pose even greater challenges if they lead to a slowdown in office leasing or worse tip the economy into a recession. Whatever happens, our operating platform is built to weather storms. Our conservative financing strategy, diversified tenant base and focus on the best supply constrained markets gives us a strong foundation to manage through periods of turbulence. With that, I'll turn the call over to Kevin to discuss our investment activities.
Kevin Crummy: Thanks, Jordan. And good morning, everyone. We are making good progress toward developing a new residential building at our recently acquired property in Westwood. We still expect that JV's total investment to be approximately $150 million to $200 million over a three to four year period, including the cost of acquisition, construction of the new residential building and upgrades to the existing tower. As Jordan indicated, our Barrington Plaza residential redevelopment, including installing new fire, life safety equipment is on track. In addition, the lease up and repositioning of Studio Plaza into a multi-tenant office building has surpassed expectations. During the quarter, we closed a non-recourse interest only $127.2 million loan secured by one of our residential properties that will mature in April 2030. The interest rate is fixed at 4.99% per annum. We used part of the proceeds to pay off $102.4 million loan. We also refinanced a $335 million secured office loan with a non-recourse interest only loan and an effective fixed interest rate of 4.57% that will mature in March 2032. With that, I will turn the call over to Stuart.
Stuart McElhinney: Thanks, Kevin. Good morning, everyone. During the first quarter, we signed just under 800,000 square feet in our total portfolio, including over 300,000 square feet of new leases. We also had our best quarter in more than two years for new leases over 10,000 square feet. The overall value of new leases we signed in the quarter increased by 0.9% with cash spreads down 12.6% as larger tenants skew the averages and make it hard to beat the contractual 3% to 4% annual rent bumps in our existing leases. As we sign more leases over 10,000 square feet, we expect to see an increase in leasing costs and a widening of our leased to occupied spread. However, even with more large leases and a higher proportion of new leases last quarter, our average leasing cost of only $6.17 per square foot per year remains well below the average for office reach in our benchmark group. Our residential portfolio remained essentially fully leased at 99.1% with strong demand. With that, I'll turn the call over to Peter to discuss our results.
Peter Seymour: Thanks, Stuart. Good morning, everyone. Compared to the first quarter of 2024, revenue increased by 2.7%. FFO decreased to $0.40 per share and AFFO decreased to $62.3 million. And same property cash NOI was essentially flat. Our results this quarter reflect the acquisition of 10900 Wilshire as well as the January 1st consolidation of a previously unconsolidated joint venture, which owns two Class A office properties totaling 400,000 square feet. At approximately 4.5% of revenue, our G&A remains low relative to our benchmark group. Turning to guidance. We expect our 2025 net income per common share diluted to be between $0.07 and $0.13 and we continue to expect our FFO per fully diluted share to be between $1.42 and $1.48. For information on assumptions underlying our guidance, please refer to the schedule in the earnings package. As usual, our guidance does not assume the impact of future property acquisitions or dispositions, common stock sales or repurchases, financings, property damage insurance recoveries, impairment charges or other possible capital markets activities. I will now turn the call over to the operator so we can take your questions.
Operator: [Operator Instructions] Our first question comes from Steve Sakwa from Evercore ISI.
Steve Sakwa: Jordan, I was just wondering if you could provide a little bit more color or detail on kind of the leasing and the larger tenants that you mentioned, the over 10,000 feet. I suspect that maybe your smaller tenants are maybe less impacted by sort of all the tariff uncertainty. But just -- I'm just curious like the pace of leasing that maybe you saw throughout the quarter and did you see any real change between January, February, March on the smalls and the larger tenants?
Stuart McElhinney: So pleased to see the new leasing increase this quarter. We had good demand kind of across all the industries. The over 10,000 guys also really strong last quarter, which is great to see diverse industries and asset as well. So we saw legal, we saw real estate, fitness, all those guys coming in. So I'd say the core portfolio is still performing really nicely and this last three quarters in a row, that we've seen improvement over 10,000 square feet.
Jordan Kaplan: They got us kind of up to the positive territory, which made a big -- remember, we were saying to you, we need to get positive absorption and we need these guys to come back and they're getting us there.
Steve Sakwa: And then obviously, your apartment portfolio did far better than we had thought. I know you added two assets into the same store pool this quarter. But could you just maybe speak to kind of the pricing trends that you're seeing in multifamily and how much of the NOI growth was driven by rent growth versus, say, occupancy gain? And I guess, what are your expectations for rent growth moving forward on the multifamily assets?
Jordan Kaplan: So one thing to be super clear on is we have not changed our asking rents from the time before the fire to now, which is being frankly, closely monitored by the state and you can check and we haven't changed our asking rents. So we are -- although, we have people that are moving and of course, they might have been at a lower rent and now it's the asking rent of -- before the fire and now. So that's obviously making a difference and we're very full. And when I say very full, I will say that probably in my career, I've added a few times that people call I want to get a unit here and there. But in general, nothing like now. I get a called a week or almost every couple of days from people saying, I need to get into your MLA building, I need to get into shore and I need to get into champagne, you got -- can you find me a unit, et cetera. And I might put you on the list. I mean -- so it's very full. Did that answer your question, Steve?
Steve Sakwa: Well, I was just curious like -- well, I guess you're saying that with the restrictions, you can't actually push rent. So maybe this is just a function of below market leases moving up to market rent at this point. But the -- I guess, the [SOEs] stay in place through the end of this year?
Jordan Kaplan: Well, you can move rents 10%. We're probably being a little more cautious but we're big and we want to be clear of where we stand. And so as I said, I mean, we literally have not changed our asking rents from before and after. Now you probably were facing before, no fire, no nothing. You're looking at a pretty big rollout. The market has been -- was very strong and strengthening before the fire. So I'm not sure that you can attribute the fire to a lot of this. You can probably just -- and maybe there's even more coming, I don't know that answer. But I know this, we probably were moving our asking rents in a pretty good way up into the fire, we stopped at that point. But we're getting those rents and we're very full.
Stuart McElhinney: And Steve I'll add, the two buildings that came into the same store were 1132 Bishop in Hawaii and Landmark, L.A. and Brentwood, both of which are performing really well. So having those in there helps.
Operator: Your next question comes from Nick Yulico from Scotiabank.
Nick Yulico: So in terms of the debt refinancing done in the quarter, the $335 million secured office loan, looks like there was an extension on that. Can you just talk a little bit more about the rate that you got seemed pretty good for an office loan and how we should think about being able to get sort of a similar rate for other debt, office debt that you're doing with maturing over the next year?
Jordan Kaplan: Well, I'm glad you like the rate. I've got to tell you something. Those ones are very hard to get, very hard. I mean -- and going out and [refi-ing] the office portfolio has been really rough front. We're getting it done. And thankfully, we have great relationships and that's probably helping us a lot. And I'm glad you liked the rate, I thought it was pretty good. I don't want getting knocked over by it. But in general, I tried to say in my prepared remarks that looking at what's going on because we're working on debt, we start with stuff that's two years away. And we're working on a lot of stuff right now, it's one of the big agenda items around here. I kind of starting to see a little bit of light at the end. And I tried to give you guys that information and said, we ran for a long time at about a 3% average in terms of our debt. And I think now we're going to be 100 and 200 basis points up on that. And we -- I think we're kind of coming out in that range, I mean, we'll see, we have more to do but we're coming out in that range.
Nick Yulico: And then second question is just on the absorption comment, which I know that applied to the total portfolio. If we look at the in-service portfolio actually sequentially the lease rate was down a bit. Occupancy was down a bit. So is the message here that new leasing volume still needs to pick up a little bit more in order to show absorption in the in-service pool? And then also I wasn't sure if there was any like early termination of space issue you were dealing with in the quarter that may have affected those numbers.
Jordan Kaplan: No, there wasn't anything like that. And I think you're kind of rhyming, we have our in-service portfolio, which shows the occupancy of the in-service portfolio. But then at the same time, we're saying, hey, but the great news is we have positive absorption, because we're taking credit for the stuff that's not in the insurance portfolio, which is true. And -- but I will tell you if each -- these are tiny moves, it's getting to positive and negative on these things. And I'm not going to tell you going forward what's going to happen, I have concerns about the economy. You heard that in my prepared remarks. But at this moment, we're feeling pretty good and we're doing a lot of leasing, and across in service, out of service and all the rest. So we're feeling pretty good about what's going on.
Operator: Your next question comes from Connor Michel from Piper Sandler.
Connor Michel: I guess first, Jordan, you mentioned some of the macro uncertainty and turmoil. Have you guys seen any like tenant fallout or leasing deals kind of fall out from import or export related businesses?
Jordan Kaplan: So far, so good. And I really tried to say that right in the prepared remarks by saying, look, we already know this affecting the stock market. Stock market is jumping around like a cat. But have we seen it roll to our tenants and impact our tenants, not yet. And then even worse, which is obviously a fear is does this roll into some version of stagflation or just recession. And like I said, we're watching for it but I haven't seen it.
Connor Michel: And then on the acquisition of Westwood and then the related developments, did you guys mention any timing on the start of that development?
Jordan Kaplan: We are already working on plans, we're going. So I hope that the timing is that we get the building bill and the next three to four years if it's completed, three, hopefully, we're going. It's by right entitlements and in our business plan of buying it, it was to build it.
Operator: Your next question comes from Rich Anderson from SMBC Nikko.
Rich Anderson: No, Wedbush, but anyway. So in terms of your comment around absorption, it sounds like leasing velocity exceeded your expectations. But would you say that the cash re-leasing spread underperformed your expectations down 12%, which so together net to sort of in line performance on a dollar basis? Is that the right way to think about it or do I have that wrong?
Peter Seymour: No, I don't think that we're disappointed with the spreads or surprised by the spreads. The spreads are going to jump around. It's -- obviously, it's dependent on the mix of leases that get done. We did some larger leases and you had some longer leases rolling off. So longer leases have higher bumps in them. We focus on the straight line spreads, which are still positive, which is great. But I think in this market, you should expect the spreads to be in the territory they've been and they'll be a little volatile quarter-to-quarter.
Rich Anderson: But all in, meeting your expectations, you would say or exceeding your expectations when you take into account the pace of leasing, the velocity?
Jordan Kaplan: The comment about exceeding expectations, that's an aside, related to Studio Plaza of the leasing there. So put that to the side, I want to add that it does -- and we've said this in a variety of ways over the last few quarters, and I had it in my section. I am surprised we haven't seen much of a change in rents considering the vacancy in the market. And now I understand the reason for it and I understand that where the vacancy is and how it's operating and tenants need to be where they want to be and all of that. But I don't -- I know there hasn't been a lot written about this. I've talked about it but I'm impressed that we are holding rates so well that we've stayed flat on the straight line, meaning like leases we did in a pretty good market, 2019, 2018, we're still holding that rate down. And it certainly isn't the same market. I think it's a testament to the fact that there's no new construction, it's a testament to the fact of the quality of buildings that we have. And I see that in New York we -- the higher quality buildings are also holding rate and doing better, and we're experiencing that there. I mean, I can't speak for the B and C product that's in the market, I think they're suffering. But we -- people want to be in the buildings. And they're well run and managed and kept clean and nice and with good amenities and all the good stuff. And it's making more of a difference than I ever really thought that it would in terms of holding rate and being a place that people want to end up at.
Rich Anderson: And Jordan, you made a comment in your remarks, interest costs up 100 to 200 basis points and you hope that NOI follows along at some point. Your guidance for same store cash NOI is, call it, 1.5%, 2% negative. So that's not happening now. But is this interest expense view like a sort of flash in the pan that's going to -- what's going to happen this year and into next year and then you commenced the catch-up on the NOI line as long as we don't fall into some sort of major recession. Is that sort of your three, four year outlook when you look at those two competing measures?
Jordan Kaplan: One thing is leasing up the portfolio and that's just straight perfect increases in NOI. Another thing is as the economy recovers, which we have seen in the past, you got to be around for a long time, because there's no new development and as companies recover, things tighten up and you see a acceleration in rental rates. And it's that acceleration in response to whether it'd be inflation and where interest rates are, it's that acceleration in rental rates that I'm hoping will offset interest rates. Now interest rates may also come down. I don't know what will happen there. I know that for now the reason I made that comment is because we are centered in the process literally of doing a lot of refis, and we're [refi-ing] some stuff that's further out. We're doing a lot of that kind of work, which we'll announce when it closes. And I can see where we're headed and we're about to move a bunch of stuff out quite a period of time, and I could see where we're going to end up. So I know I'm going to end up in that -- generally, I believe, in that range that I gave you for at least the next few years. Now if the market also improves and rental rates go up, it should offset that and that was the point I was trying to make.
Operator: The next question comes from Peter Abramowitz from Jefferies.
Peter Abramowitz: Just wanted to dig a little more into the comments around Studio Plaza. So when you say leasing is surpassing expectations, is that just sort of in terms of demand and interest in the asset, have you actually gotten anything signed there? And then just maybe kind of expectations around timing of when you think you could be close to full occupancy again?
Jordan Kaplan: All three, leasing demand, the amount of leases we're signing and the speed at which we'll reach a very reasonable occupancy level.
Peter Abramowitz: I guess if you were to handicap when a reasonable occupancy level could be achieved. When do you think that is, I guess, for modeling purposes?
Jordan Kaplan: I don't want to make a prediction about it beyond giving you that color, because I've made other predictions that's been thrown back at me. But I can give you my feel about it and we're usually being right on those fronts. And I was very nervous going into it in the market and everything we're hearing about the studios and everything else. And this building has -- we're -- they're doing it. I mean, the team is doing a great job of leasing it. And this building has not been available for a long time and it's a sought after location and extremely high quality building. And we've done a really beautiful redo remodel of all the common areas and it's working. I mean, it's dragging tenants and I'm super pleased about it, because I was nervous and now I'm happy.
Stuart McElhinney: And Peter, that remodel work should be done later this year. And hopefully, we'll have some of the leases that we've signed already commencing later this year as well.
Peter Abramowitz: And then one more. Just could you comment on entertainment industry demand, I guess, in light of some of the challenges over the last two years or so, sort of how that's shaping up today?
Jordan Kaplan: Well, we really have only that one building in the Media District. We haven't been like a big landlord to the entertainment industry historically other than the vendors like the agents and whatnot. You know we renewed a giant lease with one of the big agencies. And you know that we're having a good experience in the Media District. We don't really -- I don't think we have enough interaction to comment more largely on overall demand, and we're not in, obviously, the studio business, which is where like a lot of this discussion revolves.
Operator: Your next question comes from the line of Upal Rana from KeyBanc Capital Markets.
Upal Rana: Just on the recovery in L.A. post the fires, how is that progressing broadly? Has there been any shifts in demand that you have noticed either by size of the tenants, industry or submarket? I know you already commented on the residential side, but just curious how it was going on the office side.
Jordan Kaplan: I know we've been asked a lot or people propose that we should see -- there's billions of dollars moving into the market, that I'm definitely saying. Now that should translate to additional office leasing and I understand why people feel that will happen, whether it be architects or contractors or whatever it is that want to be here and near where all this construction is going on, because it's not just houses, I mean it's streets and utilities being installed and tons of stuff. And I -- but I anecdotally only know of one or two small leases and I can't tell you we're seeing that flood at this moment, but maybe it takes time to formulate.
Upal Rana: And then just into the decision to consolidate the JV?
Jordan Kaplan: We redid the agreement with our partners and extended it out substantially. And it's hard to call it a decision one way or another, the terms of the agreement dictate whether it's consolidated or not consolidated. And under the new agreement, obviously, we're a very large owner and there are other terms in there that dictate that under the accounting rules now it's consolidated. I can't tell you, I was thrilled about that. It gave us additional interest expense, it's kind of phantom because you act like you bought it. Peter, do you want to talk?
Peter Seymour: When we go through the consolidation process, I mean, obviously, it affected a lot of line items on the consolidated P&L, not to mention the gain that we had to take, which rolls through net income. So overall, probably slightly negative impact to the interest because we had to also fair value of the debt when we put it on the balance sheet and it's obviously at a great interest rate. So we'll see some amortization roll through interest expense, maybe about a penny impact or so overall included in our guidance.
Operator: The next question comes from the line of Seth Bergey from Citi.
Seth Bergey: I was just kind of curious, would you look to do kind of future acquisitions with a JV partner or fully owned? And where do you see the opportunity today, is that kind of on the multifamily side or the office side?
Kevin Crummy: It's definitely on the office side is -- the resi pricing has backed up slightly but not to the degree that the office market has backed up. And so the 10900 acquisition raised a lot of eyebrows as some of our partners and other people that we've been talking to overseas about the opportunities. And so we're going to focus on finding high quality office buildings in our markets that we can apply the operating platform to and create some value. And our partners are very intrigued by what they're seeing.
Operator: Next question comes from the line of Jana Galan from Bank of America.
Jana Galan: Maybe digging a little bit deeper into that kind of curious around your capital allocation thinking between these opportunistic acquisitions, would they be for the property? Could you also think about third party management and then redevelopment like in Studio Plaza or share buybacks?
Jordan Kaplan: Obviously, we already committed to rebuild and we're leasing up Studio Plaza. So consider that one done. You're asking me about share buyback and versus acquisitions…
Jana Galan: Yes, and whether they would be with partners or on balance sheet.
Jordan Kaplan: So we have bought back shares. I think we bought back $115 million or something like that, but it's done. I don't like issuing stock and I don't like tinkering with our stock, because I don't think we've been great at predicting where the price is or any of that. I mean, sometimes it's so extreme that we do it and we have a group here and we all talk about it, but you've got to really be really in a clear thing. In terms of doing acquisitions, I mean I think we have an opportunity to buy stuff directly. But if we don't include our partners and our acquisitions, we're going to lose the partners because they're going to look at us like we're cherry picking. And they're going to go, oh, yes, you come to us when you don't want to do the deal, because we obviously have money to do deals, but you don't come to us when you really love the deal. So in general, everything we buy we give them an opportunity to come in and historically, they have. So I would expect to continue that way.
Operator: The next question comes from the line of John Kim from BMO Capital Markets.
John Kim: Can I just follow up on Steve's question on the multifamily growth. You had 7.7% same store revenue, not much of a pickup in occupancy, you don't have a lot of turnover in the assets, so you can't really push rents to market. So were there onetime items in the first quarter that don't carry on for the rest of the year?
Stuart McElhinney: No, John, no one-timers. We did have an increase in occupancy year-over-year in the same store pool, so that was a contributing factor. And we do have pretty good turnover. We do have some rent control units in Santa Monica that turn over less frequently but the rest of the portfolio besides us turns over at a pretty good normal rate. So we had occupancy contributing. As Jordan said, we're very full and good rent growth.
Jordan Kaplan: I think what is being missed and maybe I'm misleading by saying we haven't raised rents since the fire, but rents have been really moving up. And just sticking even at that new number with the role that's now happening over the last few months is rolling through in terms of -- not the 7% to 8% that you're referring to. I think that's probably the primary cause.
Peter Seymour: The same store includes all of last year and rent growth over the course of that year.
John Kim: So I know you don't give guidance on same store to multifamily, but high single digits? Is that a good assumption?
Jordan Kaplan: Well, it has been but we don't give guidance.
John Kim: Switching gears, can I ask about Warner Center and the new REMS Village development proposal. If you're involved at all as far as potentially selling assets to the organization or maybe overall, how that impacts the office market in Warner Center?
Jordan Kaplan: That's very good for the market and Warner Center and the stuff that Kroenke and auto and that crowd is doing is outstanding, and we're certainly in communication with them and hugely in favor of the things they're doing and supportive.
John Kim: But you're not looking to sell any assets to their organization?
Jordan Kaplan: Well, historically, we don't talk about deals and we still -- and by me saying yes or no you go, you only talk about one yes or no, so we really don't talk about. And when we do a deal, we'll definitely announce it.
John Kim: A few years ago, I think this was a market that you were looking to potentially exit. So I'm wondering if that's still on the cards or this changes your view of your long term ownership?
Jordan Kaplan: I don't think I ever said I was trying to exit this market, that's not correct. I mean, I don't know if that was out in the world but it didn't come from me.
Operator: Our next question comes from the line of Dylan Burzinski from Green Street.
Dylan Burzinski: Most of my questions have already been asked. But I guess just can you touch on sort of the acquisition pipeline and if things are sort of accelerating as it relates to sellers willing to come to market in part ways with their properties?
Kevin Crummy: I think that people's Westside assets are the family jewels. And so people will do as much as they can to hold on to those assets. We don't have a lot of distressed bank opportunities but there are some core funds and other people who have other more portfolio pressure that might end up selling some of their Westside assets, because they don't have liquidity in their other markets.
Jordan Kaplan: It's certainly not a flood, that's for sure.
Operator: You next question comes from Anthony Paolone from JP Morgan.
Anthony Paolone: Just first one on Studio Plaza, apologies if I missed this. But what is the lease rate at this point at that asset?
Stuart McElhinney: Tony, we're not giving -- we're not tracking individual buildings or leases that way. So we haven't provided a rate.
Anthony Paolone: And when you talk about your leasing, the new leasing in the quarter, the difference between the over 300,000 and I think the [275] or whatever for the -- in service. Is it safe to assume that the rest of it was Studio Plaza or is there something else outside the [Multiple Speakers]…
Stuart McElhinney: We've got two buildings in the -- not in the in-service portfolio. So it will be Studio Plaza and then the new acquisition in Westwood.
Anthony Paolone: And then just the other question, you did a couple of debt deals in the quarter. And so I guess next up is the 2026. Any thoughts as to when you -- like are those on deck for near term or -- so I imagine they'll have some implication on earnings for this year?
Jordan Kaplan: Yes, that's what I was alluding to. We're working on a lot of debt right now and we do start early on stuff. And yes, you're right, we -- that's why I'm able to give you my prediction.
Kevin Crummy: Well, just to remind you, Anthony, we typically like to do a seven year loan that's swapped for five years and leave ourselves a two year runway. And so those 2026 expirations, that's the floating rate debt that you're seeing. And so we're working with our lenders right now to figure out new deals and we'll announce them when we close them.
Jordan Kaplan: But I tried to give you guys a feel for it, because I said in my prepared remarks, I think we're going to be up 100 to 200 basis points over the 3% rate that we enjoyed pre-COVID.
Anthony Paolone: But just to make sure I understand, those -- because you have been pretty clear that you want to get those done this year and you kind of gave us those brackets. But those aren't -- but you didn't put those in your guide, right, like we have to kind of think about that separately?
Stuart McElhinney: That's right, we don't put future refinancings in the guidance…
Jordan Kaplan: The guidance has bumping it at the rate of floating and the curve just like you guys could also figure out.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Jordan Kaplan for any closing remarks.
Jordan Kaplan: All I can say is thank you for joining us, and we'll speak to you next quarter. Goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.